Ana Soro: Good afternoon. I'm Ana Soro from Palantir's finance team, and I'd like to welcome you to our third quarter 2025 earnings call. We'll be discussing the results announced in our press release issued after the market close and posted on our Investor Relations website. During the call, we will make statements regarding our business that may be considered forward-looking within applicable securities laws, including statements regarding our fourth quarter and fiscal 2025 results, management's expectations for our future financial and operational performance, and other statements regarding our plans, prospects and expectations. These statements are not promises or guarantees and are subject to risks and uncertainties, which could cause them to differ materially from actual results. Information concerning those risks is available in our earnings press release distributed after the market closed today and in our SEC filings. We undertake no obligation to update forward-looking statements, except as required by law. Further, during the course of today's call, we will refer to certain adjusted financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from GAAP measures. Additional information about these non-GAAP measures, including reconciliation of non-GAAP to comparable GAAP measures is included in our press release and investor presentation provided today. Our press release, investor presentation and other earnings materials are available on our Investor Relations website at investors.palantir.com. Over the course of the call, we will refer to various growth rates when discussing our business. These rates reflect year-over-year comparisons unless otherwise stated. Joining me on today's call are Alex Karp, Chief Executive Officer; Shyam Sankar, Chief Technology Officer; Dave Glazer, Chief Financial Officer; and Ryan Taylor, Chief Revenue Officer and Chief Legal Officer. I'll now turn it over to Ryan to start the call.
Ryan Taylor: We had a monumental third quarter shattering expectations yet again. Our overall revenue grew 63% year-over-year and 18% sequentially. We outperformed across the board, driven by strong execution in the U.S. which accounted for 3/4 of our business in Q3, growing 77% year-over-year and 20% sequentially. Our Rule of 40 score soared to an unprecedented 114%, up 4 points year-over-year and a full 20 points since last quarter alone, reinforcing our position as the defining enterprise software company of our generation. Our U.S. commercial business grew an incredible 121% year-over-year and 29% sequentially, driven both by insatiable demand and the quantified exceptionalism compelling customers to scale AIP across their operations. Organizations are embracing an undeniable truth. Real enterprise AI at scale requires Palantir. We're seeing that AIP again and again, is the only platform delivering transformational impact in this market. And critically, AIP is the only AI platform that has an actual plan for compounding your enterprise's AI leverage, not just the model makers' leverage over you. Sharing this leverage with our customers is our highest priority. Our whole company is singularly focused around value creation for our customers, and I'm proud to share with you all the fruits of our labor. We closed our highest TCV quarter ever at $2.8 billion. Underlying this performance, we closed a staggering 204 deals worth $1 million or more of which 91 deals were worth $5 million or more and 53 deals were worth $10 million or more. In our U.S. commercial business, which now accounts for 34% of our overall revenue. We closed $1.3 billion in TCV, a milestone achievement for the fastest-growing area of our business with a more than 6x year-over-year growth rate on a dollar-weighted duration basis. The trajectory is clear. Customers are converting to larger enterprise agreements in short time frames, reflecting both the expanding scope of their AI ambitions and the immediate impact our software delivers. A leading medical device manufacturer signed a multiyear expansion just 5 months after their initial contract, increasing ACV more than eightfold. 2 weeks into their initial contract, the conversation evolved from a single use case to pursuing the opportunity of becoming an AI-first enterprise. Their CEO approached me to embrace a shared vision for an enterprise-wide AIP deployment to transform their entire organization. This transformation reflects a broader pattern we're seeing across our customer base. AI is a strategic imperative owned at the C-suite level with executive leadership recognizing the enterprise-wide AI adoption is the defining factor separating the AI haves and the AI have-nots. We're seeing C-suite-driven AI transformations across our customers. At a leading insurance company, the CEO has taken personal ownership of their AI transformation, meeting with our team regularly to orchestrate a company-wide transformation around AIP, reimagining every function from underwriting to claims processing, leading to a significant expansion of our work together. Our partnership with TWG Global named Vergence.ai continues to gain momentum as TWG's Thomas Tull noted "what was once a competitive advantage is now a competitive necessity." Companies that fail to incorporate AI into their core operations will be outpaced by those that do. These examples underscore what we are seeing. We are the only platform bringing true transformational impact to the enterprise AI market. Turning to our U.S. government business. Revenue grew 52% year-over-year and 14% sequentially as we continue to deliver mission-critical capabilities. We remain deeply committed to our founding mission of supporting the U.S. government honored by the privilege of equipping our nation with transformative software that actually works. We remain focused on delivering the most advanced defense capabilities in the world to the U.S. government and internationally to our allied partners around the world. The momentum we're carrying into Q4 is extraordinary. As we look towards the end of the year, our mission is clear: deliver the production capabilities that turn AI from promise into performance for the enterprises defining the future of their industries through AIP's compounding AI leverage. I'll now turn it over to Shyam.
Shyam Sankar: Thanks, Ryan. 20 years of grinding has built a unique moat and a growing lead. Our products were built for this moment, and the numbers continue to show it. Realizing value from AI in the enterprise requires the elegant integration of LLMs workflow and software. And this is only possible with ontology. Our foundational investments in ontology and infrastructure have positioned us to uniquely deliver on AI demand now and in the world ahead. The most significant product developments are the accelerating progress in our AI applications inside of AIP, our AIP native development agent that understands how to connect to data sources, how to integrate and transform data, how to create ontologies and functions and build applications. It's unleashing incredible speed and productivity for our FDEs and customer developer is alike. At 1 customer, 2 human FDEs spawned an army of AI FDEs to migrate a customer off their legacy data warehouse in 5 days, something that would have taken an army of SIs up to 2 years. This is not a prototype. This is production across our customers, the results are shocking. AI Hivemind is a new AIP capability that orchestrates a form of a dynamically generated agents to tackle hard problem solving, idea generation refinement and executable proposal generation that is integrated with ontology and therefore, aware of the context of your enterprise. AI Hivemind was originally developed to solve extremely complex problems in the classified space. But it's already been used to help our commercial customers identify bottlenecks in their supply chain, proactively developing possible solutions and then leveraging AI FDE to code that up into an actual solution. In the government space, AI Hivemind is able to take its proposals and generate intricate mission plans right in Gaia and Maverick. Our focus with AIP continues to be enterprise autonomy, our normative view of where the value is for AI in the enterprise. Hivemind now lets the AI develop novel solutions to emergent challenges and to identify hidden opportunities. And the rest of AIP enables you to turn those ideas into an implemented reality. Closed-loop evolution of the business with AI possible because of AIP in ontology. We continue to make investments that allow enterprises to extend AIP to the far edge. Edge Ontology is a new lightweight implementation of ontology that runs on mobile devices. It enables customers to build mobile applications or embedded software for hardware, things like drones and robots and is fully integrated with your enterprises' AIP instance. Turning to field-facing updates. The U.S. Army issued an official public memo directing all army organizations to consolidate and centralize on Vantage, the Army data platform built on foundry and AIP. The Army views this, not merely as a technical decision, but a cultural decision, enabling the data-driven decision-making that continues to make our army the most lethal in the world. This directive will enable the Army to rapidly sunset legacy systems and enable more investment in the Army's Future Force concept and systems. Warp Speed and the American Tech Fellowship are early investments to support manufacturing and reindustrialization in America are bearing fruit. While Warp Speed launched by helping new defense entrants meet their surging production goals, it's now being rapidly adopted across the traditional defense industrial base and the maritime industrial base. The second cohort of the American Tech Fellowship will be wrapping up in the next few weeks. We started the American Tech Fellowship because we noticed that many of our best builders were frontline workers. They don't come from conventional consulting backgrounds. They don't have formal computer science backgrounds. To highlight a few of these folks, Mason, a Louisiana-based civil engineer is building AI applications for more accurate estimates for heavy construction projects, something that is only going to grow with our reindustrialization. Michael, who works for a potato farm in North Dakota is streamlining its operations and Cody from Georgia, who is a utilities expert is building in foundry to deliver safe, reliable energy across the South. These Americans are the true face of innovation, underscoring that it will be the American worker with AI that drives reindustrialization and American prosperity. Our customers have taken notice and asked us to create American tech fellowship programs for their employees, specifically to include Lear who highlighted their fellowship in their recent earnings call. With that, I'll turn it over to Dave to take us through the numbers.
David Glazer: Thanks, Shyam. We had an outstanding third quarter achieving a Rule of 40 score of 114%, our highest ever by 20 points. We also generated our highest ever reported revenue growth rate of 63% year-over-year exceeding the high end of our prior guidance by 1,300 basis points and representing a 3,300 basis point increase compared to the growth rate in Q3 of last year. On the back of this extraordinary strength, we are guiding to revenue of $1.329 billion in the fourth quarter, representing 13% growth quarter-over-quarter, our highest-ever sequential revenue growth guide and 61% growth year-over-year. We're also raising our full year 2025 revenue guidance midpoint to $4.398 billion, representing a 53% year-over-year growth rate and 8-point or $252 million increase over our full year 2025 revenue guidance last quarter. In addition, we're raising our full year U.S. commercial revenue guidance to an excess of $1.433 billion, representing a growth rate of at least 104% year-over-year, a 19-point increase over the guidance we gave just last quarter. Accelerating demand for AIP continues to drive the outperformance in our U.S. business overall, which grew 77% year-over-year and 20% sequentially in the third quarter. Our U.S. commercial business grew 121% year-over-year and 29% sequentially and our U.S. government business grew 52% year-over-year and 14% sequentially. We delivered these exceptional top line results while also achieving our highest ever reported adjusted operating margin of 51%, exceeding the high end of our prior guidance by 500 basis points and highlighting the unit economics of our business at scale. Our revenue and profitability drove a 20-point sequential increase to our Rule of 40 score from 94% in the second quarter to 114% in the third quarter. On a trailing 12-month basis, we generated $2 billion in adjusted free cash flow for the first time in the company's history. Turning to our global top line results. Third quarter revenue grew 63% year-over-year and 18% sequentially to $1.181 billion. Third quarter U.S. revenue grew 77% year-over-year and 20% sequentially to $883 million. Excluding the impact of revenue from strategic commercial contracts, third quarter revenue grew 65% year-over-year and 18% sequentially, and third quarter U.S. revenue grew 78% year-over-year and 20% sequentially. We closed our highest ever quarter of TCV bookings at $2.8 billion, up 151% year-over-year. This eclipses our prior highest quarter of TCV bookings just last quarter by nearly $0.5 billion. Customer count grew 45% year-over-year and 7% sequentially to 911 customers. Revenue from our largest customers continues to expand. Third quarter trailing 12 months revenue from our top 20 customers increased 38% year-over-year to $83 million per customer. Now moving to our commercial segment. Third quarter commercial revenue grew 73% year-over-year and 22% sequentially to $548 million. This is the fourth consecutive quarter that revenue from our commercial business has been larger than our U.S. government business. Excluding the impact from strategic commercial contracts, third quarter commercial revenue grew 77% year-over-year and 22% sequentially. We closed $1.4 billion in commercial TCV bookings representing 132% growth year-over-year and 32% sequentially. AIP continues to drive existing customer expansions and new customer conversions in the U.S. Third quarter U.S. commercial revenue grew 121% year-over-year and 29% sequentially to $397 million. Excluding revenue from strategic commercial contracts, third quarter U.S. commercial revenue grew 126% year-over-year and 29% sequentially. In the third quarter, we closed $1.3 billion of U.S. commercial TCV bookings representing growth of 342% year-over-year and surpassing the $1 billion mark for the first time. Over the past 12 months, we closed $3.8 billion of U.S. commercial TCV bookings a 217% increase from the prior 12 months, highlighting the demand for AI production use cases. Total remaining deal value in our U.S. commercial business grew 199% year-over-year and 30% sequentially. Our U.S. commercial customer count grew to 530 customers, reflecting growth of 65% year-over-year and 9% sequentially. Third quarter international commercial revenue grew 10% year-over-year and 5% sequentially to $152 million. For international commercial business, we continue to capitalize on targeted growth opportunities in Asia, the Middle East and beyond but remain focused on accelerating the growth in our U.S. business. Revenue from strategic commercial contracts was $2.9 million for the quarter. We anticipate fourth quarter 2025 revenue from these contracts to be between $2 million to $4 million compared to $9.6 million in the fourth quarter of 2024. We anticipate 2025 revenue from these contracts to be less than half of 1% of full year revenue. Shifting to our Government segment. Third quarter government revenue grew 55% year-over-year and 14% sequentially to $633 million. Third quarter U.S. government revenue grew 52% year-over-year and 14% sequentially to $486 million. This growth was driven by continued execution in existing programs and new awards reflecting the growing demand for AI and our government software offerings. Third quarter international government revenue grew 66% year-over-year and 16% sequentially to $147 million, bolstered primarily by our continued work in the U.K. As previously mentioned, we closed our highest ever quarter of TCV bookings at $2.8 billion, up 151% year-over-year. Net dollar retention was 134%, an increase of 600 basis points from last quarter. The increase was driven both by expansions of existing customers and new customers acquired in Q3 of last year as we see the effect of the AI revolution. As net dollar tension does not include revenue from new customers that were acquired in the past 12 months, it does not yet fully capture the acceleration and velocity in our U.S. business over the past year. We ended the third quarter with $8.6 billion in total remaining deal value, an increase of 91% year-over-year and 21% sequentially and $2.6 billion in the remaining performance obligations, an increase of 66% year-over-year and 8% sequentially. As a reminder, RPO is primarily comprised of our commercial business as it does not take into account contracts with an initial term of less than 12 months and contractual obligations that fall beyond termination for convenience clauses, both of which are common in most of our government business. Turning to margin and expense. Adjusted gross margin, which excludes stock-based compensation expense, was 84% for the quarter. Adjusted income from operations, which excludes stock-based compensation expense and related employer payroll taxes was $601 million, representing adjusted operating margin of 51%. Q3 adjusted expense was $581 million, up [ 8% ] sequentially and 29% year-over-year, primarily driven by our continued investment in AIP and technical hiring. We continue to expect expenses to increase in the fourth quarter as we remain committed to investing in the product pipeline and the most elite technical talent, all while delivering on our goals of sustained GAAP profitability. Third quarter GAAP operating income was $393 million, representing a 33% margin. Third quarter GAAP net income was $476 million, representing a 40% margin. Third quarter stock-based compensation expense was $172 million and equity-related employer payroll tax expense was $35 million. Third quarter GAAP earnings per share was $0.18. Third quarter adjusted earnings per share was $0.21. Additionally, our combined revenue growth and adjusted operating margin accelerated to 114% in the third quarter, a 20-point increase to our Rule of 40 score from the prior quarter and our ninth consecutive quarter of an expanding Rule of 40 score. With the increase in our 2025 revenue and adjusted operating income guidance, we are now guiding to a Rule of 40 score of 102% for the full year. Turning to our cash flow. In the third quarter, we generated $508 million in cash from operations and $540 million in adjusted free cash flow, representing margins of 43% and 46%, respectively. Additionally, we achieved $2 billion in trailing 12-month adjusted free cash flow for the first time. Through the end of the third quarter, we repurchased approximately 2.6 million shares as part of our share repurchase program. As of the end of the quarter, we have $880 million remaining of the original authorization. We ended the quarter with $6.4 billion in cash, cash equivalents and short-term U.S. Treasury securities. Now turning to our outlook. For Q4 2025, we expect revenue of between $1.327 billion and $1.331 billion and adjusted income from operations of between $695 million and $699 million. For full year 2025, we are raising our revenue guidance to between $4.396 billion and $4.400 billion. We are raising our U.S. commercial revenue guidance to an excess of $1.433 billion, representing a growth rate of at least 104%. We are raising our adjusted income from operations guidance to between $2.151 billion and $2.155 billion, we are raising our adjusted free cash flow guidance to between $1.9 billion and $2.1 billion, and we continue to expect GAAP operating income and net income in each quarter of this year. With that, I'll turn it over to Alex for a few remarks, and then Ana will kick off the Q&A.
Alexander Karp: Greetings. By any normal or even reasonable standard, these are not normal results. These are not even strong results. These aren't extraordinary results. These are arguably the best results that any software company has ever delivered. And that's not hyperbolic, despite what your analyst friends may want you to believe because they've been wrong at every price, they're wrong in every -- at every single round. But of course, they're perspective and they're not investing our own money. But a normal enterprise company should not have a Rule of 40 above 100%. A normal enterprise company at our base should not have over 100% U.S. commercial growth should not have 77% growth in the U.S. And by the way, that growth is being held down by a stagnant Europe, which is still a significant part of our business. So the pure unvarnished numbers are 77% growth off of a massive significant base with very significant cash flow with a company that throws off a Rule of 40 of 114%. And then if this world was at all sane, every single person in the financial world would stop and say, how did this happen? How did a company, which stood by the American Warfighter, marine special operators, people in clandestine services who stood up for a right of free speech and was really the first company to be completely anti-woke. How did this company stick up for the American Warfighter, actually give normal Americans venture quality results. So one of the issues we have with the arbiters of truth is, it was the American worker that we supported and the American worker that we helped make rich. And arbiters of truth somehow did not participate in that because they were such experts. And of course -- but what these numbers show is doing that and taking the American worker along with it and doing it in a way that foreshadowed the future FDE, ontology foundry, making each specific institution, making the American Warfighter fight the way the American Warfighter is born to fight. Empowering the [ tenets ] of being free and having the ability to do creative things in the battlefield context and then taking enterprises instead of selling them commodity parasitic software with a massive sales force with a kind of lumbering jargon-bearing leaders, offering you stakes and dinners and other things we shall not mention in order that you turn the value -- the high-value revenue of your enterprise over to them in return for these accolades, we created direct alignment with our customers. And what does that mean? It means when our customers have a unique and triable way of doing something, whether it's underwriting or fighting or making workers even more valuable. We put an FDE, we orchestrated in ontology. We take tribal understanding of their business, the specific nature of their business that makes them particular and valuable and lethal and we empower that. And how do we participate in that? Unlike seemingly in the most obvious way, we are downstream from the value creation. So when you see 141% or you see 77% or 63% and you ask, and by the way, with really a workforce that is not growing in any way linearly proportional to that growth and also with a sales force which is declining, which seems improbable. The reason why that's working is because we are making our clients more money or we're making them more dominant on the battlefield, and they're paying us a subset of that. And this is why these numbers are so extraordinary. The sociological and political version of this should be, wait a minute, how can we learn from this? How can we implement institutions? By the way, we have all these people talking about AI [indiscernible]. I'll tell you what 114% proves. There is a massive part of the AI market that actually cares about value creation, and that's the part we own. And we own that part because to do this, you have to have [ FDE ] orchestration, you have to have ontology and you have to have foundry and you have to have access to the game, and you have to have a deep understanding of how to do that. And you have to have done this for a very, very long time with products, by the way, and then the products are getting better and better and better and better. And I'll let Shyam talk about what we're doing on the battlefield to the extent that he can, but you see the very similar trajectory where we're giving America, both in industry and in government, a massive, unfair advantage. And again, you see it like if you look at our numbers, look at how poorly Europe is doing. Look how well America is doing. Look how we're doing this. And again, it's not just top line. The Rule of 114 that we have shows top line and bottom line growth that is distinctive, massive and unique. And on top of everything else, there is this issue in the U.S. that we're all focused on at Palantir which is what access -- what portion of the GDP growth that we're blessed to have in this country, meaning GDP growth defined or helped out and bolstered by AI. What percentage of that is available to the American worker. And so when we're -- AI -- GDP availability for the American worker, meaning, do they participate in this growth? Or is it just people around this table who are getting richer and richer. And then you see our platform on the battlefield, as Shyam was mentioning, the people doing the coding in AIP are vocationally trained smart Americans with specific knowledge. They don't have -- and actually, and you have people on the factory floor, very same thing. People across the nation, truck drivers. Anybody with specific domain expertise is more powerful, more valuable in our product than they were yesterday. In fact, the real misalignment of AI is with people with commodity like high-trained elite institution, general specialists, that's just not as valuable as it was. And yes, the destructive -- positive destruction of capitalism is going to put that class of people. Typically, the class of people that also is kind of skeptical of Palantir under enormous pressure. But it is our -- what I see in these numbers and what I think we see in these numbers is to be -- put it slightly over the top. Yes, we were right, you were wrong. And we are going to go very, very deep on our rightness because it is exceedingly good for America. It's exceedingly good for the American economy. It's as good for American workers. And you know what, I really enjoy turning on TV and seeing some analysts explain why some other company is better than ours simply because they didn't make any on our company and probably aren't. And we're just going to keep going and going and going. And then we're obviously not going to forecast for next year. But I would say, if you're thinking about how this company is going to go, look at our ability to value create, look at our ability to create revenue on the top end, look at it -- look at the unit economics of our business. If you're a technical expert in how do you evaluate business, evaluate those numbers against any other business you've ever seen and then make your decision. But yes, I'm wildly enthusiastic. I think we're wildly enthusiastic. And thank you for those of you who stayed with us to enjoy these numbers, especially Palantirians who work day and night to deliver these kind of numbers.
Ana Soro: Thank you, Alex. We'll now turn to questions from our shareholders before opening up the call. We received a few questions asking what do you see as Palantir's unique differentiator that others may not understand?
Shyam Sankar: Well, Alex mentioned a bit of this here. It's become fashionable actually for lots of companies to start hiring FDEs. The Financial Times had an article about how it's the most popular new job title. But what you see is that they don't really understand it. It's just mimetic. And if you -- everything Alex, you said, like we build software that works, that not software that ought to work. We build software for the world as it exists, not a world that never was. And this ability to find what's true, that comes from the FDE. Our measure of success is not did we sell the software, it's did we solve the problem. And we have built an entire software stack over 2 decades, downstream of creating value for our customers. That led to the ontology a decade ago, more than a decade ago, which is a fundamental prerequisite to getting value out of LLMs in the enterprise. In this past year, it led to AI Hivemind and AI FDE.
Alexander Karp: The other thing, which like is implicit in that is the way we work puts us -- forces us to go up the chain of complexity every day. So we're taking on the most painful, most integral, most valuable parts of the stack in every enterprise. And it's precisely because like that's the way we actually lever our ability to deploy and orchestrate FDEs. That's the way we make our products stronger. And quite frankly, that's the way we produce these numbers because the closer you are to the front line of the very complex problem that a black box was not meant to solve, cannot solve. And at this point, everyone knows a joke to believe it could solve, that's where you -- and by the way, it's the safest position for us because this company, we will always believe that we are outsiders. We need to be in the place where the most valuable problem is being solved because that's the way we end up staying, solving the problem tomorrow and the way we get paid.
Ana Soro: Thank you both. Our next question is from Dan with Wedbush. [Operator Instructions].
Daniel Ives: Look, obviously, another monster quarter for you guys, congrats. So my question for you is for Alex and team. What -- can you just walk through just the accelerated sales cycles that you're seeing from so many companies that have gone to the boot camps? Like what surprised you from when they come to you at that first sort of contact to now actually launching deals. I mean, maybe you could talk about that just in terms of everything you're seeing anecdotally.
Ryan Taylor: Thanks, Dan. So I think we look at U.S. commercial. We closed $1.3 billion in TCV at 6x on a dollar-weighted duration basis from what it was a year ago. And of those deals worth 83 were worth of $1 million or more 40 were $5 million or more, the 21 deals were $10 million or more. I've been involved in a lot of those directly. I'm feeling exactly what you're asking on the ground from customers. And what's happening now is from the C-suite across the company, customers are coming to us looking to not just say, let's do a use case. The customers who are having the most impact are coming to us saying, how do we deploy this across our entire organization, how do we reorganize our entire organization around Palantir and AIP. And that's what's happening on the ground. And we're singularly focused on delivering the value to the customers, and that's our go-to-market. How do we get the product to them and deliver...
Alexander Karp: Where Ryan is like really very much on the front line here is there's both how many customers approach you. I think where we're seeing the biggest shift is the customers who've approached us very quickly want to move to how would I change my enterprise to express it in a way that's most valuable according to my terms in your product? And then one -- and literally want a reorg, a short-hand version that we often use is you used to have to take a company private to change the unit economics of it. Basically, just like we're providing venture results, high-end venture results to normal investors in the last couple of years, what we're doing actually in enterprise is, is providing a private equity like transformation in the public markets, in the public space under the current leadership. And that's essentially what our best -- and by the way, the other thing Ryan would tell you about is our newer clients have much higher expectations of us. Like they're like, essentially, I want to transform my business. I want to do it in months. I want to do it in the public eye, while being in the public market, mostly not exclusively. And I want you to not only do the product side but also tell us how would you actually implement AI, foundry, ontology, FDE model and our tribal knowledge to do that. And it's a completely different game. We used to have to beg and plead to be like -- when we first started talking, we were begging and pleading to be at the margin of a problem that could affect a subset of the business. By the way, Shyam, it's like, unfortunately, can only tell you 1% what he's involved in. But this is like exactly the same in the U.S. government around the world. It's like the things that we're sitting on and working on are like crazy, crazy and important and are not downstream of the problem. They are the problem, and we're reshaping them.
Ana Soro: Thank you both. Our next question from Mariana with Bank of America.
Mariana Perez Mora: I'm going to do, as usual, a couple of questions, one on commercial, one on defense or government. On commercial, I'd like to follow up to Dan's question. And let's see if you can discuss what changed from a behavioral perspective, from a customer perspective to see this accelerated appetite to incorporate Palantir to not only accelerating how many customers you have, but also the existing customers go to -- go up the value chain. And what changed internally as well? We recently saw in a visit the like AI agents or AI FDE is, like how are you incorporating tech internally to be able to accelerate and catch up with that demand? And on the government side, U.S. government up 50% plus is really impressive. And how do you think about opportunities like Golden Dome going forward adding up to this?
Alexander Karp: Well, you guys want to answer these questions? I think that there's an external one, which is like what does it feel like? That's clearly you. The internal one is a really subtle question. And I don't know anyone should jump in there? And then obviously, you should have Shyam opine on.
Shyam Sankar: Yes. Well, do you want to start with commercial or...
Ryan Taylor: Sure. Yes. I think on the external, I think it's like going deeper and deeper and more and more like tangible results with customers where they're -- there's a network effect in coming, like customer sharing impact that we're having and direct impact we're having with customers. Customers are seeing as we -- it's a continuation of what we've been doing, but going deeper and deeper with the customers on that impact. And I think that what we're seeing is more and more are now coming to us saying -- and the ones that are most impactful are coming to us saying, let's do more.
Alexander Karp: Ryan is our best at being a wonderful -- I'll just give a vulgar version here. Our clients realize the choice is suck basically. And they've tried a lot of stuff. It hasn't worked. And then we're in so many verticals. We're -- let's just say, we're in vertical 252 and we dominate for one customer. People see that. And then they're like, "Oh, well, I'll try this with some, I don't know, knock off half fake thing. It's just like -- and then a lot of people really still don't understand that are still trying to do this long migration where LLMs are going to perform as if they're LLMs and ontology. And as if they are LLMs were not a commodity. And then -- but then in the marketplace, they see the final result of someone else using ontology, foundry, FDE. And now it's like, wait a minute, I'm paying hundreds of millions of dollars in getting nothing. And the person down the road, I kind of looked down on is way ahead of me and their unit economics are transforming overnight. And that just shifts the whole conversation because then we're like, okay, well, if you want it to work, you can have to do these 5 things. And these things are like you're going to have to talk to Ryan and they're going to have to -- I don't know, occasionally meet with me, and you're going to have to actually allow us to come in with engineers. And you're going to -- we're going to have to actually work on the problems that are valuable for your business and also look at the costs that are dragging you down. By the way, the cost for most businesses is not just the actual money they're wasting. That wasted money creates an ecosystem of waste. They're talking to all these vendors all the time about all these things will never work instead of solving the problem. And so like -- and so getting the pathogens out of their business is a real issue, and now they're really, really interested in this. And so -- and then on the internal front, I would say it's just we have to double down. The most important thing for us internally is with all this success, we do not want to give up the unique attributes of Palantir and somehow purchase fake ways for us that are artificial for us. And so making sure we are very, very close to the problem and making sure everyone here, like if you heard our internal dialogue, it's much more like who's on the factory floor here. What are we doing internally? How do we make sure our products are better and better? How do we make sure, say, Shyam is a savant at going around and figuring out what the underlying tech issue is, how are we making sure we have the best product team and the very, very exact right fit for every single deployment across our deployments that we care about, especially mission deployments, which we highly, highly overvalue in terms of our time and energy. And like how do you make sure Palantir stays as tribal and cultus and unique as it was 20 years ago? How do we double and triple down on that? And how do we recruit the right people. And then internally, we have, look, we power ICE, we power efforts to defend America and Ukraine and with allies. We're on the front line of all adversaries, including vis-a-vis China. And we support -- we're at ICE and we're -- we've supported Israel. Okay. These are very controversies. I don't know why this is all controversial, but many people find that controversial. Okay? So how do you align people to focus on these things in a way that is actually beneficial for us and our clients. These are really hard and tricky issues that we spend a lot of time. I would say, as an overarching thing, because what we found is the more we focus on our internal dynamics, the better our numbers are. That's why we have less salespeople, and we have 77% growth in 75% of our market, 121% growth in U.S. comp. Please tell that to some of your friends. I don't even understand how they can look at these numbers and not drop the key out of their [ Immortal Six ] and just like say, I mean, they're like they're fantastic numbers but it's like internal focus.
Shyam Sankar: I'll make the mistake of trying to follow Alex there and just say on the internal side with AIFDE, that's why we actually originally built it. Our headcount has grown roughly 10%, but revenue grew 63%. How are we doing that? We've made our FDEs wildly more productive. And I mean, so much so that we decided to give it to our customers. And we've started to make our customers more productive. When you have a note like the Army Vantage note, where the Army is consolidating into the Army data platform, you now have an army, literal army of green suiters who need to become proficient developers in the software. And you have a generation of green suiters whose first interaction with the software is going to be with AI FDE. They're going to be super heroes on day 1. I think that it's accelerating adoption. It's accelerating understanding like the depth of adoption, not just are you using it, but how much of it are you really using? How much of it can you understand? And then quickly on your comment on the U.S. government business, like, yes, the number of opportunities out there are great. I can't comment on all the opportunities you mentioned there, but whether it's NGC2, the continued growth of, Maven, I mean we have, of course, America is involved with 3 conflicts right now in the world from Europe, the Middle East and in our own hemisphere right now. And things are getting a little spicy. By the way, let me say something slightly political, and I'm not saying other people agree with this. But when people are attacking our soldiers for stopping fentanyl from coming to this country, I want people to remember, if fentanyl was killing 60,000 Yale grads instead of 60,000 working class people, we'd be dropping a nuclear bomb on whoever was sending it for South America. So it's slightly -- like we -- in this -- at Palantir, we are on the side of the American -- average American who sometimes gets screwed because all the empathy goes to elite people and none of it goes to the people who are actually dying on our streets. And that's why it's like when you have an open border, it means that the average poor American earns less. I know my fellow progressives believe having an open border is going to make things, but that's because they're actually repping elite people instead of the working class. And the same thing in South America, is like to believe our constitution does not give us the right to stop 60,000 deaths a year of working class men and women is insane. And this company -- this country is right to stop that. And I am very proud. I don't know all the efforts we're involved in, but to the extent we're involved in these efforts, I and most Palantirians are very proud of this.
Ana Soro: Thank you. Alex, as always, we have a lot of individual investors on the line. Is there anything you'd like to say before we end the call?
Alexander Karp: We're rocking along. Please turn on the conventional television and see how unhappy those that didn't invest in us are, enjoy get some popcorn, they're crying. We are every day making this company better, and we're doing it for this nation, for allied countries and also for -- and I never really like the term retail investors. How about same people who put up their own money and fight for us -- and by the way, you are fighting for the right side of what should work in this country, meritocracy, lethal technology vis-a-vis adversaries, products that spread GDP to working-class women, men and women by making their value creation higher and by the way, your bank account. And thank you for that.
Ana Soro: Thank you. That concludes Q&A for today's call.